Operator: Good afternoon, ladies and gentlemen, and welcome to the Evertz Q3 Investor Conference Call. [Operator Instructions] This call is being recorded on Wednesday, March 4, 2026. I would now like to turn the conference over to Brian Campbell, Executive VP of Business Development. Please go ahead, sir.
Brian Campbell: Thank you, John. Good afternoon, everyone, and welcome to Evertz Technologies conference call for our fiscal 2026 third quarter ended January 31, 2026, with Doug Moore, Evertz' Chief Financial Officer; and myself, Brian Campbell. Please note that our financial press release and MD&A will be available on SEDAR and on the company investor website. Doug and I will comment on the financial results and then open the call to your questions. Turning now to Evertz' results. I'll begin by providing a few highlights, and then Doug will provide additional detail. First off, sales for the third quarter totaled a record $139.3 million, up 5% sequentially from the prior quarter. This includes revenue in the international region of $43.7 million, up 27.7% sequentially. Recurring software, services, and other software revenue increased 12.3% year-over-year, totaling $62.5 million in the quarter. Our sales base is well diversified with the top 10 customers accounting for approximately 44% of sales during the quarter, with no single customer accounting for more than 16% of sales. In fact, we had 107 customer orders of over $200,000. Gross margin in the quarter was $81.2 million, or 58.3% compared to 57.8% in the third quarter of the prior year. Net earnings were $18.7 million, resulting in fully diluted earnings per share of $0.24 for the quarter. Investment in research and development totaled $36.7 million. And Evertz working capital was $133.2 million, including cash of $24.8 million as at January 31, 2026. At the end of February, Evertz's purchase order backlog was more than $246 million and shipments during the month of February were $32 million. We attribute this strong financial performance and solid combined shipments and purchase order backlog to: channel and video services proliferation; increasing global demand for high-quality video anywhere, anytime; the ongoing technical transition to IP, IT, and cloud-based architectures in the industry; and specifically the growing adoption of Evertz's IP-based software-defined video networking solutions Evertz's IT cloud solutions; our immersive 4K, 8K Ultra High Definition solutions; our state-of-the-art DreamCatcher IP replay and live production with BRAVO Studio featuring the iconic Studer audio. And today, the Board of Directors declared a regular quarterly dividend of $0.205 per share payable on or about March 20. I will now hand over to Doug Moore, Evertz's Chief Financial Officer, to cover our results in greater detail.
Doug Moore: All right. Thanks, Brian, and good afternoon, everyone. So the sales were $139.3 million in the third quarter of fiscal 2026. That's a 2% increase compared to $136.9 million in the third quarter of fiscal 2025. For the 9 months ending January 31, 2026, sales were $384.2 million, up $10.4 million, or 3% for the 9-month period ending January 31, 2025. Quarterly hardware revenue was $76.8 million, a decrease from $81.2 million in the prior year, while software and services revenue increased to $62.5 million from $55.7 million in the prior year. Revenues from software and services represented approximately 45% of the total revenue in the quarter. Year-to-date, hardware revenue is up 1% year-over-year to $209.3 million for the 9 months ending January 31, 2026, while revenues from software and services is up 5% to $174.9 million from $166.4 million in the prior year. Year-to-date, software and service revenue represented approximately 46% of total revenue over the period. Looking at regional revenue. Quarterly revenues in the U.S./Canadian region declined 3% to $95.6 million compared to $99.1 million in the prior year. This was more than offset by a 15% increase in quarterly revenues in the international region, which were $43.7 million compared to $37.8 million in the prior year. The International segment represented 31% of total sales in the quarter compared to 28% in the same period last year. For the 9 months ending January 31, revenues in the Canadian and U.S. region were up 2% to $273.6 million, while international revenue increased 3% to $110.6 million compared to $105.9 million in the same period last year. For the 9 months period ending January 31, international sales represented 29% of total sales compared to 28% in the same period last year. Gross margin for the quarter was 58.3% as compared to 57.8% in the prior year. And then for the 9 months ending January 31, the gross margin was 59.3%. Both the quarter end and year-end gross margin percentages were within the company's 56% to 60% target range. Looking at S&A expenses. S&A was $18.6 million in the third quarter, a decline of $0.6 million, or 3%, for the same period last year. Selling and admin expenses as a percentage of revenue were approximately 13.3% compared to 14% for the same period last year. Sequentially, selling and admin is down approximately $0.5 million from Q2. The decline is primarily driven by the timing of tradeshow and promotions costs, which decreased about $900,000, as in Q2, we attended our IBC tradeshow last quarter. For the 9 months ending January 31, selling and admin expenses were $56.3 million, or 14.7% of sales as compared to $55.2 million, or 14.7% of sales for the same period last year. Research and development expenses were $36.7 million for the third quarter. That represents a $0.1 million increase over the same period last year. As a percentage of revenue, R&D expenses were 26.4% compared to 26.7% in the prior year. For the 9 months ending January 31, R&D expenses were $110.4 million, or 28.7% of sales, as compared to $110.2 million for the same period last year. ITCs for the quarter were $4.8 million as compared to ITCs of $3.6 million in the prior year third quarter. Foreign exchange for the third quarter resulted in a loss of $2.3 million as compared to a gain for the third quarter ended January 31, 2025, of $3.9 million. The largest driver behind the current period loss was the translation of U.S. dollar assets into Canadian dollars, given the decline of the U.S. dollar versus the Canadian dollar over the quarterly period. We had closed October 31 at approximately 1.4:1 U.S. to Canadian, and that dropped to approximately 1.3612 as at January 31. For the 9 months ended January 31, foreign exchange resulted in a loss of $0.8 million compared to a gain of $4.7 million in the same period last year. Turning to the discussion of liquidity of the company. Cash as at January 31, 2026, was $24.8 million, a decline compared to cash of $111.7 million as at April 30, 2025. The decline was primarily due to $91 million in dividends distributed in the quarter, including $75.5 million in special dividends paid during Q3. Working capital was $133.2 million as at January 31 compared to $206.9 million at the end of April 30, 2025. Looking at cash flows for the quarter. The company generated cash from operations of $29.3 million, which is net of a $4.4 million change in noncash working capital and current taxes. If the effects of change in noncash working capital and current taxes were excluded from the calculation, the company generated $24.9 million in cash from operations during the quarter. It's worth noting we did use about $10 million in cash and inventory in the quarter as we purchased some [ standby ] products and also securing parts for planned production. We increased raw materials. The company used cash of $7 million for investing activities, which was principally driven by the acquisition of capital assets in the quarter, including the acquisition of an airplane for $4.4 million, replacing aircraft previously sold during the year. The company used cash from financing activities of $92.4 million, which, as noted, was principally driven by dividends paid of $91 million, including the special dividend of $75.5 million. Finally, looking at our share capital position. At January 31, 2026, shares outstanding were approximately 75.5 million and options and share-based RSUs outstanding were approximately 4.5 million. Weighted average shares outstanding were 75.5 million and weighted average fully diluted shares were 76.7 million as at January 31. That concludes the review of our financial results and position for the third quarter. Finally, I would like to remind you that some of the statements presented today are forward-looking, subject to a number of risks and uncertainties, and we refer you to the risk factors described in the Annual Information Form and the official reports filed with the Canadian Securities Commission. Brian, back to yourself.
Brian Campbell: Thank you, Doug. John, we're now ready to open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Thanos Moschopoulos from BMO Capital Markets.
Thanos Moschopoulos: North American growth was clearly a little bit slower, recognizing you had strong growth internationally. But just with respect to North America, anything you'd call out as far as what you're seeing in the environment? Or is that just reflective of project timing, which, as we know, can be sometimes lumpy?
Brian Campbell: Dennis, it's Brian. I'm actually on a remote cell phone here in Ottawa at a defense conference event, and you were breaking up a little bit there. Could you repeat the question for us?
Thanos Moschopoulos: I was just asking about the slower growth in North America during the quarter, whether you've seen any change in the end markets or whether that's just reflective of project timing and lumpiness?
Brian Campbell: I would advise that it's more reflective of timing and lumpiness. So we haven't seen a significant change, and we are heading into the NAB events in the tail end of April, where we're going to be connecting again directly with many customers on site. So it's -- we're quite excited by that.
Thanos Moschopoulos: Clearly, defense is topical. So maybe on each side of the border, we've seen Canada focusing on ramping up domestic procurement. And in the U.S., you're obviously you've been investing in building out your operations. Can you update us in terms of what you're seeing in terms -- with respect to defense opportunities?
Brian Campbell: We're definitely encouraged by the steps that are being taken on multiple fronts, whether that's government initiatives that mandate the defense -- Canadian defense sector and the internal people as well, too. So that is -- it tends to be a longer-term sales cycle, but it's all quite encouraging. And we're very intent on devoting sufficient resources to help the Canadian government as they're moving forward. As you know, we have had successes over the years in the U.S. and with NATO partners.
Thanos Moschopoulos: And then maybe one last one for me. OpEx has been relatively stable in recent quarters, which is good to see that expense discipline. Any puts and takes as we think about the near-term OpEx trajectory? Or should this be representative of the run rate near term?
Doug Moore: No. The big thing to call out there is like while Q2 had IBC, Q4 has NAB or N-A-B. So that is a pretty significant show for us. Just from a Q3 to Q4 perspective, you can -- I would expect an increase of $1.5 million to $2 million. The same with on the Q4 front as we ramp up for a show. We -- a little bit harder to forecast, but we do often have some increases in R&D materials and prototypes, which is historically the last couple of years anyway been about an extra $0.5 million in Q4. And then beyond Q4, there's nothing specific to call out other than inflationary matters.
Operator: Your next question comes from the line of Robert Young from Canaccord Genuity.
Robert Young: Brian, I think you noted you were attending the Ottawa Conference on Security Defense earlier in the call. I think I heard that. Could you talk about what you're showing at the conference? What are the products that you're displaying to a defense customer? What are the areas where you think Evertz could be meaningful in supplying the Canadian defense establishment?
Brian Campbell: Yes. So it isn't as much a tradeshow as you're familiar with the NAB and IBC. So we're attended conference, but we're definitely continuing to reinforce and make strong relationships on multiple fronts. And it is the monitoring command and control solutions or transport, as you know, core elements of our key technologies are Common Criteria and NIAP certified. And that plays very well to the direction that's being taken by much of the new spending initiatives.
Robert Young: So no specific product areas that you're in a sales motion at this conference. Is there anything worth highlighting? I understand you're highlighting products that you have certifications related to. But is there any -- what product areas would you highlight as particularly relevant to a defense customer?
Brian Campbell: So Rob, other than the ones I articulated previously, which is the command and control relevant ones, which are multiviewers, signal processing, the DreamCatcher Live Production solutions, that whole family of technical operations center, live production, replay, storage solutions, all -- and transport all fall into categories that would be of demand and of course, the RF solutions of which we have many, and we're at the forefront of the DIFI push, which is the digitization of IF and RF solutions.
Robert Young: Also noted you added SOC 2 to the Evertz.io product, which -- maybe if you could just give us a sense of what that opens up for Evertz. Is that a meaningful addressable market change?
Brian Campbell: It's very early days. I don't have anything to add there.
Robert Young: And then the backlog ticked up for the first time in quarter-over-quarter, sequentially it ticked up for the first time in a while. Is that driven by like maybe a weaker level of February shipments? Or is it -- is there another factor to call out there?
Brian Campbell: Doug, do you want to handle that?
Doug Moore: Yes, sure. It's just -- again, there's some lumpiness in projects, whether we deliver or they come in, some significant orders come in at a time. But it's just a reflection of strong demand. So you are correct that the February shipments are a bit light. That's fair. But yes, the growth in backlog, I think, $6 million quarter-over-quarter is very positive, but I think it's not directly attributable to 1 item. I would say it's just strength across and strong demand.
Robert Young: Maybe last question. You noted the inventory build in the quarter. Is that driven by anything in the pipeline or maybe unannounced programs that you've won.
Brian Campbell: No...
Robert Young: Something that's not -- go ahead. I'm sorry.
Brian Campbell: No, it's actually -- it's more driven by market, I guess, procurement realities with -- there's some memory -- certain components like memory on allocation where we have to secure parts to guarantee our ability to ship. So it's more driven by the procurement side and then seeing there's certain products on allocation or potential company shortages that we're using some of the cash to stockpile.
Operator: [Operator Instructions] Your next question comes from the line of Paul Treiber from RBC Capital Markets.
Paul Treiber: Just a question on recurring software and services revenue was strong again this quarter. Is there anything to call out in terms of either unusuals or project completion? Or do you see it as continue to grow in these low double digits here?
Doug Moore: I think you still have -- if you track it for the last 8 quarters, there's been a strong trend in growth. And there's not a milestone of achieved a $10 million, or something like that. But there's always some volatility based on project completion and milestone completion. So it's not a specific 1 contract to point to, and there will be some peaks going forward. But you'll see over the past 8-plus quarters or more really, 12 quarters, it's been growing, if you look at the trend, so.
Paul Treiber: And then international, the strength in international is the highest quarterly level in a number of years. Has anything changed in terms of your momentum there and the drivers of that growth and what's driving that?
Doug Moore: A lot of the growth in the current quarter, at least compared to the prior year, it was a couple of projects in Europe that we completed. I don't know it's really a macro thing to call out necessarily than the lumpiness and volatility, in this case, helping us in the quarter.
Paul Treiber: And then just lastly, just on gross margins, it ticked down a little bit sequentially. Does that relate to international or some of these larger projects, the mix may have a lower gross margin than the past?
Doug Moore: Yes. the main driver, of course, is the product mix. But in this case, there is some drag due to international margins being a bit tighter than elsewhere. So it's still well within the range. It's still a strong margin, but there will be volatility even going forward. But yes, there's a bit of a drag in the quarter with the international sales.
Paul Treiber: And then just lastly, just on the topic of gross margins. With memory costs going up, how will that impact gross margins? Is it a relatively small portion of your BOM that it's basically immaterial from a consolidated point of view?
Doug Moore: Yes. What we do is we analyze BOMs on an individual level. So if there's markable cost increases, we may have to address that through pricing. But it's not -- in the current quarter it hasn't affected margins necessarily. It's really just having to acquire -- use cash to basically acquire inventory, so we have it there to ship basically when we need it. So it hasn't really been a drain on margins, but it is causing us to react with procurement.
Operator: There are no further questions at this time. I will now turn the call over to Brian Campbell. Please continue, sir.
Brian Campbell: I'd like to thank the participants for their questions and to add that we are pleased with the company's performance during Q3 of fiscal 2026, which saw record sales of $139.3 million, including $62.5 million in software and services revenue, solid gross margins of 58.3% in the quarter, which, together with Evertz's disciplined expense management, yielded quarterly earnings of $0.24 per share despite a foreign exchange loss of $2.3 million in the quarter. We're entering into the last quarter of fiscal 2026 with significant momentum fueled by over $32 million of shipments in the month of February with a combined purchase order backlog plus February shipments totaling in excess of $278 million; by the continuing adoption and successful large-scale deployments of Evertz's IP-based software-defined video networking and cloud solutions by the largest broadcast, new media, service provider, and enterprises in the industry; and by the continuing success of DreamCatcher BRAVO, our state-of-the-art IP replay production suite. With Evertz's significant investments in software-defined IP, IT, and cloud technologies, the over 600 industry-leading IP SDN deployments, and the capabilities of our staff, Evertz is poised to build upon our leadership position in the broadcast and media technology sector while further penetrating government and defense. Thank you, and good night.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.